Operator: Welcome and thank you for standing by. At this time, all participants are in a listen-only mode. Today's conference is being recorded. If you have any objections, you may disconnect at this time. Now, I will turn the meeting over to Ms. Patricia Murphy, Vice President of Investor Relations. Ma'am, you may begin.
Patricia Murphy : Thank you. This is Patricia Murphy, Vice President of Investor Relations for IBM. I'm here with Mark Loughridge, IBM's Senior Vice President and CFO, Finance and Enterprise Transformation. Thank you for joining our first quarter earnings presentation. The prepared remarks will be available in roughly an hour and a replay of this webcast will be posted to our Investor Relations website by this time tomorrow. Our presentation includes certain non-GAAP financial measures in an effort to provide additional information to investors. All non-GAAP measures have been reconciled to their related GAAP measures in accordance with SEC rules. You will find reconciliation charts at the end, and in the Form 8-K submitted to the SEC. Let me remind you that certain comments made in this presentation may be characterized as forward-looking under the Private Securities Litigation Reform Act of 1995. Those statements involve a number of factors that could cause actual results to differ materially. Additional information concerning these factors is contained in the Company's filings with the SEC. Copies are available from the SEC, from the IBM website, or from us in Investor Relations. Now, I'll turn the call over to Mark Loughridge.
Mark Loughridge: Thank you for joining us today. In the first quarter, we reported $23.4 billion in revenue, expanded gross pretax and net operating margins and delivered operating earnings per share of $3 which is up 8% year-to-year. But this quarter certainly didn’t close the way it started. We had solid profit performance in January, but as the quarter ended hundreds of millions of dollars of very profitable software and System z mainframe deals fell short of the goal line. This impacted the first quarter close, but the rollover of these deals positions us for a strong start in our software and mainframe business in the second quarter. Taking full consideration of our first quarter performance and the number of actions to improve this performance, we continue to expect operating EPS of at least $16.70 for the year. Now let me make four points about what we saw in our business this quarter. First, our total services business performed as expected with year-to-year constant currency revenue growth in line with last quarter and pretax profit up 10%. Our backlog was up 1% year-to-year or 5% constant currency driven by a lot of new business in the quarter. Second, we had a shortfall in sales execution in our software and mainframe businesses, but with a good list of rollover transactions coupled with improved execution, we’ve got a strong hand going into the second quarter in these businesses. Third, in our growth initiatives, Smarter Planet was up over 25% and Cloud over 70%. Business Analytics was up 7% led by double-digit growth in GBS. But our growth markets revenue was up 1% at constant currency, clearly not what we expected or what we needed. Across IBM we delivered strong growth in several of our offerings to address market trends like SaaS and mobile where we grew over 50% leveraging our organic and acquisitive investments. As these become a larger part of our business, that will contribute more to our growth. Finally, there are parts of our business that are in transition or have been underperforming like elements of our Power x and storage product lines that showed disappointing performance in the first quarter. Here we’re going to take substantial actions. Now, let me describe how this impacts the year. With the improved execution in our software and mainframe businesses, we would expect the operating EPS growth in the second quarter to be similar to that of the first. However, given our first quarter performance, we now expect to take the bulk of our workforce rebalancing actions for the year in the second quarter, as opposed to last year when it was distributed across the quarters. Though we certainly don’t have a specific approved action, this will result in a charge that will additionally impact the operating EPS we report. Like all years, we have a number of actions planned to improve the business for the long-term, acquiring and divesting businesses and rebalancing our resources. This results in charges in the second quarter and gains in the second half, which we expect will roughly offset for the year. By the end of 2013, taking into account our operational performance benefits from the workforce rebalancing activity and gains and charges, we’re confident we can achieve at least $16.70 of operating EPS for the year. Let me now walk you through the financial metrics for the first quarter. In total, IBM’s revenue growth at constant currency was down 3%. We entered the quarter with a modest currency headwind, but became more pronounced due to currency movements over those last 90 days especially in the yen. When you look at the reported revenue for the quarter, currency impacted our revenue growth by two points. Turning to the profit metrics, our ongoing focus on productivity and our shift to higher value contributed to our margin performance. We expanded operating gross margin by a point led by services and an improving mix and we expanded operating pre-tax margin by 0.8. Our tax rate for the quarter was 17.3%, down approximately 3 points year-to-year. The lower tax rate is primarily due to benefits recorded to reflect changes in tax law enacted during the quarter, including the reinstatement of the R&D tax credit for 2012. We expect our ongoing operating tax rate for the next three quarters to be in the range of 25%. Our operating net income grew 3% and our margin was up over 1 point. With nearly $12 billion in gross share repurchase over the last 12 months, we reduced our share count by 4%. When you bring all of this together we delivered operating EPS of $3, which is up 8%. Turning to cash, we generated $1.7 billion of free cash flow in the quarter and ended the quarter with a cash balance of $12 billion. Now we’ll get into the results starting with revenue and gross margin by segment. Year-to-year constant currency revenue performance in our combined services businesses was consistent with the fourth quarter. At constant currency, GBS performance improved a couple of points while GTS revenue growth slowed due to continued pressure on sales into existing accounts and actions taken to restructure the low margin outsourcing contracts. In software we had good performance in several key areas such as Smarter Commerce, Social Business, Security and Storage Management, but our growth rate was impacted by the inability to close some large transactions at the end of the quarter. In Systems and Technology, while we’re delivering good performance in System z mainframe despite the slipped deal, and in our PureSystems offerings, weakness in Power, System x and Storage resulted in overall decline. Looking at our gross profit, our operating gross margin improved 1 point driven by a combination of good margin expansion in both Services segment and an improving segment mix. Looking at revenue by geography on a constant currency basis, Americas’ revenue was down 3% with declines in both the U.S. and Canada, mitigated by double-digit growth in Latin America led by Brazil and Mexico. Our EMEA revenue was down 4% year-to-year, about a 0.5 lower than last quarter. Most of the major countries declined though Spain returned to modest growth. In Asia-Pacific revenue was down 1%. Within that Japan revenue was up 3%. This was the second consecutive quarter of revenue growth in Japan reflecting the stabilization of our business in that country. The balance of AP, which is part of our growth markets declined. Across all geographies, our growth markets revenue was up a disappointing 1%, though five points faster than the major markets. BRICs were up 3% led by Brazil, while China and Russia posted modest declines. China’s performance was impacted by weakness in large deals and a slowdown in our low-end and mid-range products. Now let’s take a look at our expense profile. Our total operating expense and other income was down 4%. Acquisitions over the last 12 months drove two points of expense growth. Currency contributed a point of expense decline, driven almost entirely by translation. Consequently, our base expense excluding currency and acquisitions was better by five points. I’ll comment on a couple of expense items that have larger year-to-year impact to our profit. First, workforce rebalancing was better by about $200 million year-to-year driven by a charge in last year’s result. Second, our IT income was down over $70 million year-to-year. Typically, we talked about the impact of our hedging programs as a driver of expense. In first quarter, the hedge activity was neutral year-to-year with very modest gains in both periods. In the quarter, we were impacted by significant depreciation of the yen. As our business in Japan is more heavily skewed to local services, the ability to hedge cross-border cash flows is low compared to most other countries. This had a profit impact in the quarter, which would continue at current spot rate. So, now let me go into the segment. This quarter the two services segments generated $14 billion in revenue, grew pre-tax profit 10% and expanded pre-tax margin by 2 points. Total backlog was $141 billion, up 1% at spot rate, but up 5% at constant currency. Backlog grew in both the transactional and outsourcing businesses. In fact, we had 22 deals greater than $100 million. We closed large transformational deals in every geography, but we have particularly good performance in our major markets where the vast majority of these 22 deals were done, and nearly half of those were new services contracts. These deals contributed to our major markets backlog, which was up 3% at constant currency and grew for the first time since the end of 2010. Turning to the two segments, Global Technology Services revenue was $9.6 billion, down 4% as reported and down 2% at constant currency. There were two major categories affecting revenue growth. The first was a continuation of the decline in revenue from sales into existing base accounts. This activity tends to be more transactional in nature and economical sensitive. And as expected, GTS revenue continued to be impacted by the work we’ve done to improve profitability of the restructured low margin outsourcing contracts. That initiative has helped improved our margin performance again this quarter, but does reduce the top line. We estimate that impact to be about a point of revenue growth to GTS and to Services in total. These two items were reflected primarily in GTS outsourcing revenue, which is down 3% at constant currency. In the Integrated Technology Services, revenue was up 2% at constant currency, led by continued strength in the growth markets and the third consecutive quarter of growth in Japan. GTS delivered 7% pre-tax profit growth in the quarter and expanded pre-tax margins by about two points. This quarter margin expansion was driven by continued efficiency improvements, primarily through our enterprise productivity initiatives and lower workforce rebalancing charges. Turning to Global Business Services, revenue was $4.5 billion, down 3% as reported and flat at constant currency. This represents an improvement of two points quarter-to-quarter at constant currency. From a geographic perspective, the growth markets in Japan drove the strongest performance while North America slowed its rate of decline versus last quarter. Looking at the GBS business by offering, we had good results in our solutions that address the digital front office. We delivered double-digit growth across the initiatives; Business Analytics, Smarter Planet and Cloud. As these become a larger part of GBS, they’ll contribute more to the top line performance. And as we address the globally integrated enterprise, our traditional back-office solution, we’re continuing to focus on improving our performance in implementation services that support the traditional packaged application. Turning to profit, GBS pre-tax income improved 17% year-to-year and pre-tax margin expanded three points. The main year-to-year profit drivers were continued benefit from our enterprise productivity initiatives, lower workforce rebalancing charges and improved contract performance. So to wrap up Services, we grew backlog 5% at constant currency with the major markets up for the first time since the end of 2010. Growth initiatives continue to perform well or continuing to improve in transition areas like traditional packets, application implementation and we expanded profit margins and delivered 10% growth and a pre-tax income. Software revenue of $5.6 billion was flat year-to-year or up 1% at constant currency. Pre-tax income was up 4% year-to-year and pre-tax margin is up 1.2 points to 31.5%. As I stated up front, software growth was impacted by a number of large transactions that rolled into the second quarter. Key branded middleware grew 1% or 2% at constant currency. Now let me give you some insight into our branded middleware performance. WebSphere grew 7% at constant currency, for the 12 consecutive year Gartner designated IBM the worldwide market share leader in the application infracture and middleware segment. In the quarter we had strong double-digit growth in Smarter Commerce and Smarter Cities leveraging our organic and acquisitive investments. Our SaaS offerings contribute to the strong performance. To address the emerging opportunity around enterprise, mobile computing, in the first quarter we introduced MobileFirst, which combined deep mobile expertise with cloud based services. Information Management was down 1% at constant currency. The brand most impacted by the large roll over transactions. However we did hold share. Tivoli was up 3% at constant currency, driven by security and storage. Security was up 15% at constant currency driven by a security intelligence and identity and access management product segment. Security intelligence was more than double this quarter, provides solutions to help client to identify threats more quickly, prioritize risk more effectively and automate compliance activities. Identity and access management was up double-digit, allowing organizations to mitigate risk by controlling and monitoring users’ access, which is even more critical as IT infrastructures become more interconnected. Tivoli Storage which enables customers to manage their rapidly growing data grew 11% at constant currency. Social Workforce Solutions, which includes our recently acquired Kenexa Business grew 9% at constant currency. We began building our social business platform several years ago and we’ve been ranked as the number one enterprise social software vendor for three consecutive years by IDC. Across the software brand, as we close the transactions that rolled over, we should deliver double-digit growth in key branded middleware in the second quarter. Systems and Technology revenue of $3.1 billion was down 17% year-to-year or 13% at constant currency, adjusting for the divestiture of Retail Store Solutions. System z grew 8% at constant currency. MIPS were up 27% and more than half of the MIPS were from specialty engine, which were up more than 65%. Within that Java was up 70%, database 24% and Linux nearly doubled. Like software, as we close the large transactions that rolled over from the first quarter, we should be able to deliver double-digit revenue growth in our System z business in the second quarter. We’re also continuing to see traction in PureSystems, our expert integrated systems. We completed our first 12 months of operations for PureSystems and have sold over 4,000 systems in over 90 countries. Power revenue was down 31% at constant currency. Our declines were driven by both the high performance computing segment where we had a strong performance last year and the impact of the transition to POWER7+ Let me step back to provide a broader perspective. We are by far the market leader in Unix. We are expanding our power platform to go after the Linux opportunity. This opportunity is of similar size to Unix but growing faster. We’ve already had some key successes with wins this quarter in China and in Europe and in fact Watson is based on Power Linux. Though this will take time to mature, it provides a real opportunity for future growth. System x is down 8% at constant currency and our storage revenue was down 10% at constant currency. With strong growth in our new midrange products, storage growth profit was up as our organic Storwize products grew over 50% and replaced older OEM products. The value in storage continues to shift the software. Our storage software which is reported in Tivoli grew 11% at constant currency. For systems and technology, this is not the quarter we expected. Our performance was impacted by product transitions and our own execution. We expect to improve our revenue performance in the second quarter and return to profitability excluding the second quarter workforce for balancing activity. Moving onto cash flow in the quarter, we generated $1.7 billion of free cash flow down almost $200 million year-to-year. The year-to-year performance was driven by a decline in our accounts receivable clearance rate and an increase in cash tax payments. These are mitigated by year-to-year benefit associated with the timing change of funding our 401(k) and a lower level of CapEx. Looking at the uses of cash, we closed two smaller acquisitions this quarter, StoredIQ and StarAnalytics. We returned $3.5 billion to shareholders including almost $950 million in dividends and $2.6 billion in gross share repurchases. We bought back 12.3 million shares in the quarter, and at the end of March we had 6.2 billion remaining in our buyback authorization. Turning to the balance sheet, we ended the quarter with a cash balance of $12 billion, up $900 million from year-end. Total debt was $33.4 billion of which over $25 billion was in support of our financing business, which has leveraged at 7.2 to 1. Our non-financing debt was $8.2 billion, down $600 million from year-end. At these debt levels non-financing debt to cap was 34% down two points from year-end. We continue to have a high degree of financial flexibility and our balance sheet remains strong to support the business over the long-term. So now let me start to wrap up with the summary of the drivers of our operating earnings per share performance this quarter. Our revenue decline impacted our earnings growth by $0.14. The contribution from margin was $0.23 with gross pre-tax and net margins all up year-to-year, driven by our move to higher value, margin expansion and services, and a lower tax rate resulting from changes in tax law during the quarter. A lower share count resulting from our ongoing share repurchase program contributed an additional $0.13. For the quarter, we delivered 8% operating earnings per share growth. As I said at the beginning of the call, the quarter didn’t end the way it started, so we are going to roll up our sleeves and get this back on track. First by improving our sales execution to close the roll over deals in software and mainframe, and recover our position in the growth markets. Next by taking the bulk of our workforce rebalancing actions in the second quarter, we will start to get the benefits from those actions earlier in the second half. Finally, by taking actions to improve our under performing businesses including expanding our power platform to address the Linux opportunity and leveraging our investments in Flash and midrange storage solutions. Some of these actions will yield benefits quickly while others will play out overtime. And of course, we are going to continue to deliver on the core elements of our business model, as we continue to shift to higher value, leverage our key growth initiatives, drive productivity across the enterprise, invest in innovation, and return value to shareholders. Now we’ve got a lot of work to do, but we know how to get it done. By the end of 2013, taking into account our operational performance, benefits from workforce rebalancing activity and gains and charges, we expect to deliver at least $16.70 of operating EPS for the year. All of this is consistent with our objective to achieve at least $20 of operating EPS in 2015. Now Patricia and I will take your questions.
Patricia Murphy: Thank you, Mark. Before we begin the Q&A, I'd like to remind you of a couple of items. First, we have supplemental charts at the end of the deck that complement our prepared remarks. And second, I’d ask you to refrain from multipart questions. When we conclude the Q&A, I'll turn the call back to Mark for final comments. Operator, please open it up for questions.
Operator: Thank you. At this time, we would like to begin the question-and-answer session of the conference. (Operator Instructions) The first question comes from Toni Sacconaghi with Sanford Bernstein. You may ask your question.
Toni M. Sacconaghi – Sanford C. Bernstein & Co. LLC: Yes, thank you. Mark, I just wanted to make sure I understood what you are commenting for Q2 and how that relates to the rollover impact that you have also mentioned, so I think you said that operating EPS growth would be similar in Q2 to Q1, which I think was about 3.5%. I am surprised that that’s not dramatically higher than it was in Q1, because you have a much easier comparison. And also because you’re suggesting that you had several $100 million in pushed out revenues that’s high margin. In fact, I think if you work backwards from consensus, you miss revenues by $1.4 billion, if you take our currency you miss by almost a $1 billion. If you really were on plan other than flip deals that would suggest that, you should have a $1 billion of high margin incremental deals next quarter. And I’m not sure why your pretax, why your EPS growth wouldn’t be a lot higher? And related to that, are you expecting any EPS growth after your restructuring charges in fiscal Q2?
Mark Loughridge: Okay, let me talk through that. First of all, when you look at the second quarter, in your comments on the second quarter, we have a very good set of rollover transactions going into the second as you correctly pointed out and if you look at that composite that rolled over the deadline for us. We’re talking about more than $400 million of mainframe software and intellectual property. Now, so that does give us confidence in the second quarter. But Toni, I did not mean to indicate that all else would also be on the original performance track. So, in fact, I still believe there are parts of our business that are in transition or have been underperforming that also were disappointing that are going to take some time to recover. So, let me do a couple of things to help clarify that. If we look at the first quarter, I think our total services business did perform as expected on an I&E basis. Revenue was about what we saw in the fourth quarter, pretax profit was up 10%. The real positive news out the services business in the first was in fact backlog performance. So backlog was up 5% at constant currency, and I am sure you’ve looked at all the supplementals. We’ve really had a great quarter for bookings, up almost 50%. So that drove a lot of new business in the quarter. That backlog performance is well distributed. Major markets backlog is up 3%, growth markets backlog is up 10%. If you look at the other elements through the different axis, outsourcing backlog up 4%, transactional up 9%. So I think the teams in services delivered on their objectives on profit and they did sign a lot of new business and I would tell you, when you look at the content of the deals they too have rolling into the second quarter, they’ve got a very strong lineup. So with that I think that for both of the services businesses, by the time we get into the second half, they should be growing at the low single digit and I peg that at about 2% constant currency for both of them. We’ll start to see this backlog really improve their performance. Second, as you did point-out and I quite agree with your comments, we had a shortfall in the sales execution in our software mainframe businesses, those should rollover and they should present us with very good performance in the second quarter. Now, buyback, I mean in that over $400 million of mainframe software and intellectual property that rolled over, we should see our strategic middleware, I think in kind of the double-digit framework which will give us total software in mid-single digits, we should see our mainframe business at double-digit as well. So with that performance, really our STG business should return to profit in the second quarter. Third, when you look at our growth initiatives, I think that to be quite clear about it was mixed, Smarter Planet I think did well, up 25%, our cloud business, up 70%, I thought they did well and it came across content that we sell to our customers, so they can setup a private cloud, that was up more than 75%, managing that content for our customers in private cloud doubled our software as a service business, was up 65%, so all those elements have performed well. But on the other side, our growth markets revenue was up only 1%, so they need to get that back to that mid single digit characteristic that we’re looking for in the second quarter. If you looked at their metrics today and put them on the table, they would be pointing at mid single digit performance. But I think to the point that I was making earlier, there is certainly our parts of business that I put in the category of underperforming and they did disappoint us in the quarter, power storage products within that, and I do think in Power, if you look at their performance in that opportunity of unit space, once again they picked up share, but it doesn’t mean much if you’re declining at double digits. Now, part of that was compared based on high performance computing, but even if you subtract that they are double digit decline, so new products are going to take some time to improve their performance, by say six to nine months, but they also need to move into new opportunity spaces like Linux in a bigger way, we do have some real success there and the Linux market right now is as big really the Unix market and growing more rapidly. And then in the storage products, we need to take advantage of the flash memory content that we built-up and that we reviewed in Almaden, if you look at the second quarter flash memory could improve that storage growth rate by about 1.5 and by the time we get to the fourth quarter by three to four points, but those elements are going to take more time than I think we would originally have thought. The other point that I would tell you about the second quarter, I want to be clear about is the Yen. So the Yen had an impact, total currency had an impact of about 1.5 in the first quarter, and then we see about two points in the second quarter in the current spot rates, it would lead to a year of about two points impact; a lot of that impact is frankly the Yen, and you have seen how much the Yen has moved in a short period of time. Now, when we hedge free cash flow, we hedge the underlying cross border cash flows, so you tend to have royalties for software, you have class or hardware content, really related to the big export business that we do. But on services, you don’t have that underlying cross border cash flow to hedge and most of that is done on a local basis with local resources and local competitions, not many cross border cash flows and a lot of that content especially in Japan. And in Japan, the lion's share of the business and I mean we are talking 75% to 80% is service’s content. So when we get hit by the Yen in our largest country without the ability to hedge that free cash flow on a cross border basis, that does fall to the bottom line and we have looked at the impacts in the second quarter at about $0.10.
Patricia Murphy: Thanks Toni, can we go to the next question please?
Operator: The next question comes from Steven Milunovich with UBS. You may ask your question.
Steven M. Milunovich – UBS Securities LLC : Thanks Mark. First I wanted to clarify the employee workforce charges in the second quarter, are you excluding that from your operating earnings guidance or is that somehow in there? In the past, you have often been able to find gains to offset that. But it sounds like you’re kind of excluding that. Now, I just wonder if you comment on the environment, you have some execution problems in the third quarter last year. You have currently got some at the first quarter, it sounds like either you need to maybe swap out some managers or more likely everybody is missing enterprise numbers this quarter. What do you think is going on? Is it macro or is it people looking at their cloud architectures, and just delaying things and why particular at the end of the quarter.
Mark Loughridge: Okay, let me take both of those questions. I’m going to start with your first; first of all let me put this in context. So, when we gave our original guidance in January this year, we said that this year would be like other years in that we are going to buy and sell businesses. We’re going to record gains and charges, we are going to invest in innovation, and continue to rebalance our workforce to future opportunities. And we said that in an all-in basis we feel confident with an at least $16.70 of operating EPS for the full-year and that is still the case. Now, in the first quarter, we recorded 8% EPS growth and as we look at our book of business especially the strength of the rollover deals for software mainframe, we should see similar year-to-year EPS growth in the second quarter, just as we had the conversation around Toni’s question. However, this will be further impacted by workforce rebalancing charges, which I will come back to, so in the second half of the year, we would expect our EPS growth to improve in the third quarter and further improve in the fourth quarter to double-digits. So, even excluding the second quarter workforce rebalancing charge and second half gains we feel that very confident we can achieve the 9.5% EPS growth for the year to drive at least $16.70 of EPS. Now, remember last year we had about $800 million in workforce rebalancing charges spread across the year. This year we expect the workforce rebalancing charges to be closer to $1 billion and concentrated in the second quarter. So we really haven’t finished the work for a specific action yet. Like last year, we expect the bulk of that charge to be outside the U.S., and with that on an all in basis including all gains and charges, we’re confident we can achieve at least $16.70 of operating EPS for the year just as we said in January. Now, on your second question regarding the first quarter, let me give you a view on kind of our side of the table, the IBM Corporation and then I will give you a feeling for some of those macro issues that we also faced. So I think as we explained in the prepared remarks that by and large this is an execution problem. I mean we should have closed on those rollover deals and we thought we had them right up to the end and we put a lot of work into how to build that pipeline and our execution against it to compensate in a way for Easter at the end of the quarter. And the last time we had an Easter in March was 1Q ’05 and that was also very disappointing quarter for us. But with those deals affected by Easter well, the bulk of that 400 plus deals that closed across the deadline, the bulk of them I mean really by far of the majority were in Europe and they were in the U.S., so it’s hard to imagine that we weren’t affected by Easter. Secondly, if you look at the U.S. weather effect of the, some effect of the sequester that’s hard to measure, I can’t tell you that our U.S. Federal business is down 13%, which was certainly a drag on the U.S. performance. But I think the other element that in a way, we kind of misjudged. The change in the Chinese government really ripples down all the way to the provinces and state-owned businesses. And as we went through that, I mean we’re talking about once every 10 year event, as we went through that with the team, I don’t think we fully accounted for the impact that would have. And then the last point I would make is the yen. But once again, I want to return to the point that had we simply closed on those deals, at the end of the quarter, we would have certainly had sufficient business to close the first and enter the second with the strength.
Patricia Murphy: Thank you, Steve. Operator, can we take the next question please?
Operator: The next question comes from Ben Reitzes with Barclays. You may ask your question
Benjamin A. Reitzes – Barclays Capital, Inc.: Yeah. Hi, Mark. I wanted to ask about your cash usage in the second quarter, if you had such good bookings, in the second half it is going to be so much better. It would seem that it would be prudent to accelerate your buyback and you have the $6 billion left. And then, I also wanted to sneak in another and ask, there are some speculation that you might sell the x86 server business on the tape and maybe you mentioned divestitures in your prepared remarks, just wondering if you could elaborate on that and clarify what we’re hearing?
Mark Loughridge: Sure. First of all, let’s talk about the cash and the implication for cash. So, if you look at the first quarter, our free cash flow was $1.7 billion and as we pointed out that’s down $200 million. Now there were two very distinct implications to that that I will cover now. But first is the impact of cash taxes; the second, sale cycle working capital. So let’s take cash taxes first. If you look at cash taxes, in fact on a year-to-year basis in the first quarter, cash taxes were an impact about $200 million, and as we phase the second quarter there will be an impact of about $900 million and for the year, as much as $2.4 billion. So if you look at our free cash flow performance in the year, excluding that cash tax implication, I feel confident that we’ll be growing our free cash flow outside of that, but we’re not going to overcome $2.4 billion of additional taxes in the year. If you look at that as a percentage against the booked tax rate in the first quarter of about 17% on an operating basis, actually our cash tax rate was about 30%. And if you roll that out through the quarters for the year, this year it would be cash tax rate and the book tax rate we expect to relatively converge on a full year basis. Now, let’s talk about sales cycle working capital. That too was an impact of about $200 million in the quarter. Against that what we did see is a growing propensity for late payments on customers’ growth and frankly our receivables clearance rate, the rate at which we clear them was not as good as we had expected either. And then lastly, in the negotiations on deals a lot of attention on our customer side on Ts and Cs affecting the cash flow elements, receivable payables, in some respect even more than price. So what we saw, what we took from that is lot of attention to their cash balance and holding on to that cash balance. Now all of this content however I want to reassure you what’s considered as we went through the view of free cash flow across the roadmap in that range of $90 billion to $100 billion. And so very, very confident that we’re going to complete the $50 billion of share buyback. If you look at it, we’ve done almost $30 billion to date, $20 billion of acquisition is a very realistic number both from cash availability and opportunities and $20 billion in dividend for a total of $90 billion and with that we should still have good financial flexibility at the end of 2015. Secondly, on speculation and rumors I’m obviously not going to comment on rumors Ben.
Patricia Murphy: Thanks, Ben. Can we go to the next question please.
Operator: The next question comes from Katie Huberty with Morgan Stanley. You may ask your question.
Kathryn Huberty – Morgan Stanley: Thanks. Hi, Mark. First how much of the $400 million Intel 8 deals have you closed so far in April. And then just curious if you think there is a reasonable explanation for why, IBM was able to close so many large services deals in the quarter, but customers at the same time are delaying the existence in software purchases, could we be seeing customers taking a step back and reconsidering their IT infrastructure, and maybe looking more at the cloud and needing services for that that’s delaying their infrastructure purchases? Thanks.
Mark Loughridge: So if you look at the $400 million in deals, my experience in this area is when you close that baseline you kind of reset to a skew across the quarter, it does all close if you go into the next month period. Now that said we have closed some substantial deals in that category, but we’ll see those, I think kind of generally feathering across the quarter based on our customer buying patterns, not just ours. Secondly, when you look at the services content, they just had a great pipeline of deals teed up right from the beginning. And so, if you looked at their performance on a week by week by week basis they just had a head esteem the entire quarter. If you look at the software mainframe content, I still think mainframe did a reasonable job of 8%, but compared to a more typical z series cycle, I think they could have done by our math another 100, 150 and that kind of is the quantification of the deals crossing the date line into the second quarter. On the software side of the house they had a very good listed deals and I think this was just pure execution. We should have closed those on a sales side. We got to get off to a good start as we go into the second quarter. We had tremendous number of views with the management team and software and the financial team and software and they felt very confident in our position going into the second quarter.
Patricia Murphy: Thanks, Katie. Can we got to the next question please?
Operator: The next question comes from Bill Shope with Goldman Sachs. You may ask your question.
Bill Shope – Goldman Sachs: Okay. Great. Thanks. I have a question on the guidance as well. Mark, can you clarify the effective tax rate you’re assuming for the full year? I know you talked about the next three quarters, but your previous guidance coming into this year was for 25% rate for the full year and obviously this quarter the tax rate was a fairly healthy benefit for EPS. So including that does your full year guidance imply pre-tax performance that was quite a bit below what you previously expected, and given the incremental restructuring you’re talking about as well as the closing of some of these slip deals, can you talk about that shortfall relative to your previous pre-tax expectations?
Mark Loughridge : Yeah. We would see the balance of the three quarters per year at a book rate of relatively 0.5% and putting everything into those categories and any unique events that we might have, we think that full year is probably going to be in the range of about 24%. So going through a first quarter that full year view of the business being within about 1% as I think pretty reasonable. Now when you look at the tax rate, there are really two things that really drove that. You got to recognize when we get an event within the quarter, we have to recognize that on our tax rate, our book tax rate within the quarter. Like many that are reporting, we took advantage as we were required to. The tax extenders that was excluding the investment tax credit was in a sense the retrospect of reinstatement and that affected our tax rate, but the results so within the quarter change in tax law within New York state that also had an effect. So, really that change in the tax rate was due to change in tax law within the quarter, and the change in New York state was like March 29.
Patricia Murphy: Thanks Bill. Let’s go to the next question.
Operator: The next question comes from David Grossman with Stifel Nicolaus. You may ask your question.
David Grossman – Stifel Nicolaus: Thank you. Mark, you have mentioned comments about the growth markets and it sounds like if I heard you correctly that the rollover was primarily in the U.S. and Europe and I know you mentioned China is being a surprise initiative in the quarter, but were there any other things that you can talk about that impacted growth in the growth markets and help us understand what kind of visibility if any you have on improvement as we go into the second half of the year?
Mark Loughridge: Yeah. So if you look at the content within the growth market and you look at it by the business categories, about 20% of the business in the growth market is the hardware STG content, slightly over 20%. So if you look at about a fifth of it and look at the balance of the business, the balance of the business in the software services content really performed in that kind of mid-single digit framework that we discussed. Now, underneath that we certainly weren’t satisfied with that hardware content, but I think outside of the hardware content they did come through in that mid-single digit category that was consistent with their objective. Now if you look at GMU from kind of a category, really Latin America did a great job, up 14%. When we look at Central Europe and Russia, they tend to be transactional deals more volatile. We had in the CE or Russia, it was pretty broad swings in the quarter. So the issue that we saw really was the growth market content in Asia, and with Asia it was pretty much specifically China. So China needs to do a good job responding from that going into the second quarter. They do have tough comparison rearview mirror for the second and third quarter. They were up mid-20s and 19% in the third. But I think they too have had a good record on hardware content. We’re not solely dependent on that hardware content and if you look at even from a services standpoint, the backlog growth in growth markets was up 10%, which should give them some opportunity there as well.
Patricia Murphy: Thanks David. Operator can we take the next question.
Operator: The next question comes from Peter J. Misek with Jefferies LLC. You may ask your question.
Peter J. Misek – Jefferies LLC: Thank you. Just a question on Smarter Planet Watson pipe initiatives, can you walk through how much of hardware revenue was tied into that and how we should be modeling that going forward? You reported that some of the Smarter growth initiatives were outstanding, but correspondingly we had weakness on the hardware side. Seems to be bit of a disconnect there. Maybe you can help reconcile that?
Mark Loughridge: Well, when you look at the business analytics content and you look at the Smarter Planet content, really the key in them is the relationship between the GBS content that lead those engagement, and frankly, the more important linkage there is the software content. That’s why when we look at the margin along those key initiatives access, they tend to be really high because that mix in software tend to be about 50%. So when you look Smarter Planet and Business Analytics, the missing ingredient there was the software content. Again that kind of got hung up at the end of the quarter. Actually the GBS team did a very, very good job on both. And frankly, if you look underneath the GBS profile and break it down to the components parts, they did a great job in the parts of their business aligned with those growth initiatives. They were still some impact and some categories on those traditional packaged apps. Those traditional packaged apps tend to have been more a rapid turnover, but the content and the backlog that they are building along these growth initiatives should be sustaining and long-term with, I think, good margin performance. But when I look at the growth initiatives in the first quarter, the impact that was a more material I think was the software performance, the services performance did very very well, it’s that software performance that drive the margin content within them.
Patricia Murphy : Thank Peter. Can we take the next question please?
Operator: The next question comes from Keith Bachman with Bank of Montreal. You may ask your question.
Keith F. Bachman – BMO Capital Markets: Hi Mark could you talk a little about your confidence for the services more broadly. In the past you’ve been reluctant to provide top line expectations and you’ve indicated that you thought both GTS and GBS would have positive growth in the second half of the year, I think you even called out kind of 2% constant currency. Could you just tell that a little bit because the signings were very strong, but particularly in outsourcing so I’d be surprised if that really helped as early as the September quarter, was there other things like, you are not loosing share in the market as you, I think have been over the last couple of quarters as you get more selective, is there something going on there. In addition if you could just talk about what the pipeline looks like after the $17 billion in signings this quarter. Thank you.
Mark Loughridge: Yeah, when you look at the content in the services performance again I would kind of steer the conversation to backlog and on a constant currency basis our outsourcing backlog was up 4%, but our transactional backlog was up 9%, so we’re now seeing the GBS business as an example that they’ve been piling up backlog growth now for four years and that is going to materialize, it just tended to be as we did further analysis, it was a longer term contract, but mathematically as we went through with the team, if they can continue this rate that we’ve seen and they do have a very good deal structure going into the second quarter. Simply the math would suggest that they should be able to get back to this low single digit kind of 2% constant currency revenue growth and with that with all of the work that they have done on their cost base, which they do so well they should get a lot of leverage of that capability in the second half.
Patricia Murphy: Thanks, Keith. Let’s go to the next question please.
Operator: The next question comes from Joseph Foresi from Janney Montgomery Scott. You may ask your question.
Joseph Foresi – Janney Montgomery Scott: Hi, I just wanted to kind of follow-up on that, the last question that was asked, in the services business do you feel like you fully turn the corner there, and do you expect the backlog to grow, I know you’ve given some commentary on the business growing, and then finally can you quantify or help us understand the margin impact as you become more profitable on the GTS side?
Mark Loughridge: Well, I think when you look across those services business they have done a very good job of kind of delivering on the margin capability even through more challenging revenue quarters. So the key ingredient I think to continue that margin performance is getting back to revenue performance in the second half of the year. I don’t know if I’d say we turned the corner on growth I think we’ve got to get to the second half to see the growth, but it’s pretty encouraging if you can see, 5% growth in the constant currency backlog when you’re talking about $141 billion of that. I mean that’s a lot of backlog to move in a quarter. So that’s the number one point I would make on that. But number two, we had a lot of deals in the services side of the business across that date line as well end of the second. So they certainly did not believe the pie just establishing this level of performance at the first quarter, they should have based on the deals based on the trajectory, a lot of opportunities to have another very good quarter. Now, obviously within next quarter, mainframe or software or services, you have to close the deals, you go to win and you got to win in the customer office, so, that dimension of course, but within that the opportunity to do well in the second quarter I think is certainly there and that should drive second quarter revenue performance.
Patricia Murphy: Thanks Joe. Operator, let’s take one more question, please.
Operator: Thank you. The last question comes from Jim Suva with Citi. You may ask you question.
Jim Suva – Citigroup: Thank you very much. And Mark, just a quick follow-up; on the service side, where do we take a look at the backlog and or the signing, can you help us understand about, were those improvements that you saw, are they concentrated on a couple of customers that were larger in size or they’re just scattered amongst a lot of smaller ones and maybe what geographic locations that you saw on backlog and signings?
Mark Loughridge: Well, I think the best answer, when you look at the content underneath that, I mean we had, it wasn’t like one content. We had 22 deals over 100 million, so there is a lot of flow in those deals and there was a lot of flow on the GTS side, there was lot of flow on the GBS side. This was not just one deal. It was well distributed. We had 22 deals over 100 million, there is a lot of deals over 100 and it was across the geography. So I think that was good performance. So now let me make a few comments to wrap up the call. We are clearly not immune from changes in the global economy. We have a good set of plans and actions to achieve our objective of at least $16.70 of operating EPS for the year. First, our sales team need to close those rollover transactions that we discussed. Second, we’re going to regain our position in the growth markets and the growth markets team need to lead that. I mean if you look at the metrics right now, it clearly points in GMU to that mid-single digit constant currency performance and mainly to get that back on track. Third, we’re going to rebalance our workforce to better align our resources to opportunity. Fourth, reposition Power to address the Linux space. And five, capitalize on our flash technologies and storage node. Clearly those last two will take some time, it’s not going to all prop back in the second quarter, but it should give us a better trajectory as we go through the year. We’re managing our business to be successful over the long-term. So not only did these actions support our view of the year, but they’re part of a model that continues transformation as we move towards the 2015 roadmap objective of at least $20 of operating EPS. So thanks again for joining us, and now as always get back to work.